Emmanuel Rapin: Ladies and gentlemen, thank you for joining us this evening to Lagardère SA and Louis Hachette Group 2024 Results. I'm Emmanuel Rapin, Head of Financial Communication and I will be guiding you through this presentation. Tonight, the conference follows a new format. We will go through Lagardère SA first in terms of results, and then go with Louis Hachette Group results. Thus, the call will be led by Arnaud Lagardère, Chairman and CEO of Lagardère SA and Hachette Livre SA; Jean-Christophe Thiery, CEO of Louis Hachette Group; and Gregoire Castaing, Deputy CEO of Lagardère Group in charge of Finance and Deputy CEO of Louis Hachette Group; Dag Rasmussen, Chairman and CEO of Lagardère Travel Retail; Claire Leost, CEO of Prisma are also here with us. After the presentation, I will be reading the questions from financial analyst only, and now I leave the floor to Arnaud Lagardère.
Arnaud Lagardère : Thank you so much, Emmanuel, and good evening to all of you. It seems that we have a big crowd today more than a hundred people listening, so it's good and it's -- we take it as a, as a huge compliment, obviously. So as far as Lagardère is concerned, we broke, I think a record for the past 15 years both in sales and in results. And this is clearly the result, the consequence of the strategy that we've put in place a little more than 15 years ago, by the way, by reducing the number of businesses and focusing more on few activities with the ambition to put them on the podium. Not only they are today on the podium regarding Hachette Group and Lagardère Travel Retail, but also, they have a strong solid sale and raise up obviously. So, I would like to take the opportunity to really thank and congratulate 30,000 almost colleagues of Lagardère for the tremendous job that they have done. As strategy is one thing, but the execution is sometime way more difficult. To reach that goal, we had to invest over the years quite a significant amount of cash, CapEx, OpEx in acquisitions also, and the result of that is obviously the depth. Now we're opening a new page of the company with the Vivendi coming on board. And the fiscal year of 2024 actually is the first year of Vivendi now more Groupe Bollore onboard of Lagardere. So, the focus is pretty much the same. And the benefit of having Vivendi is quite significant. First of all, we have a more peaceful environment with our shareholders. That was not a hard thing to do. By the way, second, we have some business synergies that we've started to implement with Group canal. We might have some and will have some with Prisma, maybe my colleague Claire will talk about that later on. And also, with Avast to a certain extent. The also benefit we have is the cash focus that is becoming a priority for us. As you know during the year 2024 and we'll continue to do that in 2025, we try not to spend too much cash in the operations, not milking the company obviously, but taking care of reducing the debt and you will see Gregoire will tell you that we are really, really on track. And regarding the benefits, last but not least, we did our own Mercato, as we used to say in a football field and we had the opportunity to bring onboard to Lagardere a couple of great, great people, starting with Jean Christophe Thierry, who is here with Gregoire Castaing, but also people that are not here maybe listening to us like Maxim Sada and Michel Siboney. So, to conclude, I would like to say that we are now ready to move forward with a lot of confidence for this coming year, since we have two very strong businesses and we are ready to take any opportunities to grow. Taking care at the same time as I said before and I would like to envisage this and repeat it again and again, being very, very cautious about the cash that we will invest in all our divisions. Now I'm glad to leave the floor to my friend, Gregoire, and ready to get back to you for the Q&A session.
Gregoire Castaing : Thank you very much, Arnaud, and good evening to everyone. I'm really pleased to share with you for the second time at the Lagardere level and for the first time at the Louis Hachette group level strong and remarkable results. We will go as Emmanuel mentioned it through the Lagardere result and then share the figures at the Louis Hachette group level. So, starting with the Lagardere figures, as you can see, at the end of year 2024, Lagardere group's revenue reached its highest historical level of at nearly €9 billion and is up 11% as reported and 8.5% on a like for like basis. The group's recurring EBIT continue to break records at €593 million up by €73 million versus last year. The adjusted EBIT or EBITDA was up 23% as just below €500 million. And the free cash flow also improved significantly at €523 million increasing by €162 million compared to '23. As a result of this very high level of free cash flow, the net debt decreased by €108 million enabling us to have a strong deleveraging to a ratio of 2.4 compared to 3 at the same period last year. Let's have a closer look to the revenue’s evolution. And as you can see on this slide again, the growth in terms of revenue is 10.6% as reported, and 8.5% on a like-for-like basis. The main difference comes from the scope effect. The scope effect was a net positive of €152 million, which mainly include the impacts of the acquisition of Costa Coffee, Marche in Germany and test on the fly in the U.S. at travel retail in ‘23 and the sale of Paris Match in ‘24. If we no focus on the, like for like growth, it's important to point out that all activities showed positive growth this year. Like other publishing revenues grew by 1.9% on a like for like basis, like other travel retail, which a new peak in term of revenues increasing by 12.5% on a like for like basis and other activities were up 0.2% on a like, like basis and 1.3% on actual figures by the way. Moving on to profitability, as I already mentioned it, our recurring EBIT raise up in French was significantly by €73 million and which on historical level at €593 million, we are really happy to see that this high level of recurring EBIT is almost equally supported by the two main activities €310 million for the publishing or €305 million for the travel retail. It's good to see that there is a end force challenge for the leading position within the group. So, let's have a look now to the cash flow. On Slide 7, as I told you in July, the group's free cash flow generation was one of the key priority for the group this year. And as you can see, our effort drove to a high level of €423 million in ‘24. This strong increase is mainly linked to publishing with 177 improvement year-on-year. Many thanks to the quite low 24 basis -- 23 basis, sorry. ‘23 was actually impacted by a negative change in working cap and by high level of CapEx related to the logistic and Hight transformation project. With €274 million free cash flow generating in ‘24 publishing came back to a very good level of EBIT conversion into cash flow. Travel retail generated €188 million in line with strong operational performances. The net small decrease of €37 million was due to a very good level of working cap in ‘23, mainly to the post-COVID effect regarding this variation of working cap to make a long story short, the very high level of recovery in ‘24 had a strong impact on stock. Even if the growth is still very strong in ‘24, the impact on stock is much lower in ‘24 than in ‘23. Regarding the CapEx, our CapEx increased by 56 million at Lagardère Travel Retail in ‘24 compared to ‘23 and among this year to €250 million. So, if we focus on cash generation, we don't want to make the business, as Arnaud mentioned it, and we want to fuel the future growth of these activities and that's why we invest a lot in 2024. On the next slide regarding cash and notably the performance of Travel Retail, I think it's even better to focus on the free cash flow after M&A impacts. It's how cash flow operating cash flow less tax paid and less M&A effects. And as you can see in 2023, committed cash outflow was minus €74 million with a positive contribution only at Publishing level. This year in 2024, all our three activities generated a positive cash flow after investing for a cumulative impact of €518 million. So again, a very strong performance. On the next slide in a nutshell, thanks to these good operational performances and to a strong discipline on M&A, the net debt decreased by €188 million compared to ‘23. Beside the operational cash flow, the sale of Paris Match was definitely a material cash inflow, partially offset by the acquisition of Sterling Union Square by Lagardere Publishing and by the percentage of the participation in Xtime Travel Essential, our GV with Aeroport de Paris. Then last year, we paid dividends for a total amount of €154 million and we paid also €176 million of interest and other charges. This very high level of interest is of course the main motivation for us for leveraging the group. So as a conclusion, thanks to the strong discipline of all the teams, we are really happy to achieve our target with leverage below 2.5 times and even 2.4 times at the end of this year compared to three last year as of December. Let's move on to the details of our main BUs starting with Lagardere Publishing. As already mentioned, Lagardere Publishing revenue was up nearly 2% on a like for like basis this year at nearly €4 billion mainly supported by our international activities. International revenues as you can see now represents more than two thirds of publishing revenues and our activities are very well balanced between the U.S, UK and France. In the U.S, the revenue were up 7% and in the UK after a very good 23 years, there were also up 3%. In France, after a very solid ’23 year, the revenues were slightly declining reflecting softer performance from General Literature segment due to a lighter release schedule. And from illustrated books with the lack of a new aesthetic solution in Lund this year. Sales in Education were also slightly down to the lack of curriculum reform in France and in Spain. More generally, on the next slide, we can also highlight our well balanced and diversified activities. As you know, the group is well balanced between geographies. Publishing is also benefitted from a well-diversified portfolio of activities. Development is quite stable compared to last year. And we can point out that the General Literature is still our biggest branch with sales that was notably boost in 2024 by our digital offer. By digital, I mean, audiobook and e-book, which -- for which we are witnessing a strong growth, as you can see. The momentum is particularly strong in the U.S. and the U.K. For instance, Hachette has been the biggest player since '22 -- since 2020, sorry, in the U.K. And in '24, both audiobook and e-book represents 14% of total Publishing revenues, up from 12% in '23. I won't give the figures country by country but there is definitely a big gap regarding digital revenue between France on 1 side and U.K. and U.S. on the other side. I would tend to think that this is definitely one of the growth potential for France. And to finish on this slide, let me highlight, for instance, the impressive growth of board games, which is still a small part of our activities. It's not our core business, but we are now the second player in the French market. And it's also a good way and not the only one to find growth relay and increase margin. So, we are now the second player as much needs. We are really profitable, and we had an increase by more than 20% on the year-over-year in terms of revenues. Leading us to the next slide regarding profitability. For the Publishing, Lagardère Publishing profitability reached €310 million, a €9 million increase compared to '23, maintaining profitability at a very high level with almost 11% of EBIT margin. We achieved these results, thanks to a favorable mix of sales in the U.S. and the U.K., particularly regarding the digital, which could be relative for our margin and with a strong backlist and cost-saving measures in France. Let's move on to Lagardère Travel Retail. '24 was another remarkable year for Lagardère Travel Retail at €5.8 billion of revenue with solid performance across all our geographies. Year on years recorded 20% growth driven by continued traffic recovery. In France, Lagardère Travel Retail maintained its leading position with sales improvement by 15% versus last year. U.S. activities was also -- was up 6% on an already high basis of comparison and in the context of stabilization or small growth of air traffic. And Asia Pacific revenues declined by 13% due to, as you know, lower activity in China. Despite this situation in China affecting many players and many more than us, overall growth of the branch remained very positive with, again, 12.5% on a like-for-like basis. Let's deep dive into the division revenue for Lagardère Travel Retail. As you know, Lagardère covers all the segments of Travel Retail with Travel Essentials, Duty Free and fashion and dining. With this model, we develop holistic shopping experiences for passengers. In '24, business line mix moved slightly with continuous growth in dining, winning 2 points, mainly driven by the full impact of Tastes on the Fly acquisition in November '23. Moving on the profitability of Lagardère Travel Retail. As already mentioned, we are already -- we are really pleased to share this recurring EBIT, which was at an all-time high level with up 25% compared to last year and €305 million. Our profitability reached 5.3% plus 0.4% versus last year. Travel Retail reached these strong performances, thanks to improvement of air traffic, focused on organic growth, again, strong cost of control and last but not least, successful integration of our latest acquisition. Let's move on to other activities. As you know, this BU combined media and entertainment businesses, revenue for this year increased to €257 million. A few points to be highlighted. First, the good momentum in radio activity driven by the audience growth at Europa. The second one is the press activity, which was down 5% due to lower advertising revenue, but licenses were again up 2% compared to '23. And finally, Lagardère Live Entertainment recorded growth, thanks to the successful programming of our live entertainment in the news. A few words on the ESG strategy. In '24, it was, again, another year of progress. On this slide, you can see some of our achievements and our effort to meet the impact environment to place people at the heart of our strategy to enhance our ethical responsibility and to inclusively share control activities. Let me only point out three items. Maybe the first one at Lagardère Publishing, as you can see, we want to reduce by 25% plastic use by '23. At Lagardère Travel Retail target, we target to offer 75% of recycled water bottle in our shops by the end of this year. And regarding the audiobooks, as you can see, today, we have 20,000 audiobooks, which are available from our back list, which is good for sharing culture with as many people as we can and also good for boosting our digital business. This is, I think, good example on ESG stakes, which is aligned with business and operational stakes. If I move to the coming year 2025, regarding '25, in April, the Board of Directors will propose to the AGM a dividend payment of €0.67 per share for '24, which is an increase of roughly 3% compared to last year. And for the next year, we are again confident on our ability to continue on the growth path and intend to maintain our efforts to ensure a well-balanced capital allocation policy between investments to develop the business, reasonable dividend level and debt reduction. I now hand over to Jean-Christophe for turning to Louis Hachette Group, and then I will come back for the figures.
Jean-Christophe Thiery: Thank you very much, Gregoire, and good evening, everyone. Let me just say a few words before leaving the floor back to Gregoire. I'm delighted to open this first conference call for Louis Hachette Group. As you know, Louis Hachette Group has been created last December from the combination of Vivendi's shareholdings in Lagardère SA and in Prisma Media. Louis Hachette Group is a global leader in Publishing and Travel Retail and the French leader in magazine and digital media. Louis Hachette Group is listed on Euronext Growth Paris, which is consistent with the continued listing of Lagardère SA on Euronext Paris. As you can see from Lagardère's results, 2024 was an exceptional year for Louis Hachette Group. The revenue increased by 10% and 8% in organic growth and the EBITDA grew by 4%. After this strong performance, the group is confident to pursue its growth trajectory. Louis Hachette Group has all the assets to seize opportunities and to strengthen its leadership. We will continue balancing the allocation between investments, a reasonable level of dividends, and debt reduction. I leave the floor to Gregoire again.
Gregoire Castaing: Thank you, Jean-Christophe. Let's go directly to the Slide 27. Just a quick reminder. Let me first remind you that the structure of this new group is, since December '24, combining to the activities of Lagardère at 66.5%, and Prisma Media, which is fully owned by Louis Hachette Group. Our reference shareholder, the Bolloré Group, owns 31% of Louis Hachette Group and the float is then around 69%. Let's move on the next slide, just again a short reminder, Louis Hachette Group is a worldwide group, combining leaders in Publishing, Travel Retail, and Media with around 33,000 employees all over the world. In Publishing, Lagardère is ranked number 3 in the world and by far number 1 in France. Lagardère Travel Retail, we are the number 3 operating 5,000 stores, 300 airports and more than 700 railway stations around the world. Prisma Media is by far the French leading magazine publisher with a very diversified and attractive portfolio of brands. And we also operate media and entertainment activities mainly through radio in France the news in Paris. On the next slide, you have again Lagardère's key figures that I've just commented. And just were to explain that at Louis Hachette's consolidation level for Lagardère figures, revenues are the same figures but we have some slight difference regarding result and EBITDA. Let me try to explain rapidly the main difference for EBITDA on the next slide. As you can see, Louis Hachette Group's figures correspond to Prisma and Lagardère's financial statement as integrated by Vivendi as of the completion of the takeover in December '23. Thus, Lagardère accounts at Louis Hachette Group level include adjustment by Vivendi in the opening balance sheet. There are mainly three type of adjustments which impact the EBITDA at Louis Hachette Group versus Lagardère level, adjustment related to the recalculation of lease liabilities and right of use in accordance with IFRS 16 as at December '23; adjustments related to the risk and impairments which have been reestimated in the opening balance sheet by Vivendi again at the end of '23; and charges related to transactions with share owners included in the EBITDA at Lagardère level and neutralized in the Louis Hachette Group's account. Again, all these adjustments are only linked to the takeover by Vivendi in accordance with the IFRS rule. This adjustment hasn't any cash impact. So, you can also refer to the appendix of this slide for detailed reconciliation. And of course, our IR team is available to go through this reconciliation later in details if needed. Last but not least, let me give you a few comments for the first time on Prisma Media. At constant perimeter, Prisma Media revenue was quite stable in a very shrinking print press market. This evolution was mainly driven by the development in luxury segment through new launches and acquisitions in the year '24, capturing both print and digital advertising and partially compensating the sale of at the end of the year '23. Let's move on EBITDA for Prisma. Prisma Media's EBITDA decreased at €13 million, impacted by the sale of Gala in November '23 and a positive nonrecurring item in '23 as well as some restructuring costs booked in '24. To summarize all these figures at Louis Hachette Group, on the next slide, we'll find the key Louis Hachette Group figures including the evolution of the net debt situation. Again, the figures are really good, as you can see, with €9.2 billion of revenue, up 10% compared to '23. EBITDA is €510 million, up 4%. The free cash flow increased very significantly by €153 million at €421 million. And last but not least, the net debt amount to €1.8 billion at Louis Hachette Group as of December '24 compared to €2.2 billion at the end of '23, a strong decrease linked to the cash generation from activities and particularly at Lagardère level and also the recapitalization of Prisma Media just before the split of Vivendi. At the conclusion of this presentation, please note that we will propose to the AGM for Louis Hachette Group an ordinary dividend of EUR 0.06 per share for '24. The payments would occur as from 9 May '25. You know that before the listing, we disclosed the target of at least 85% of distribution of dividend received by Louis Hachette Group. With this €0.06, we are close to 95% of distribution. In 2025, Louis Hachette Group are distributing, again, a minimum of 85% of dividends received as controlling shareholder of Lagardère SA and sole shareholder of Prisma Media. This dividend policy aims again at maximizing value creation for its shareholders by gradually deleveraging the Lagardère Group and implementing steady dividend distribution to shareholders while preserving its ability to pursue growth opportunities in line with its strategic objectives. Thank you, and we are now available to answer your questions.
A - Emmanuel Rapin: Thank you, Gregoire. So, I will start first with the question from Eric Ravary from -- and there is a first general question valid for the business line because the question is, what are the trends that you can see coming from early 2025 for Travel Retail, Book Publishing and Prisma? So maybe we start with Book Publishing with Jean-Christophe Thiery.
Jean-Christophe Thiery: Thank you, Emmanuel. So first, I remind you that we had a very, very high 2024. Then our main assumptions for 2025 are as follows: for Literature, we will have a richer publication program in France with books of Dan Brown, Virginie and the same in the U.K. with Rebecca, Robert Galbraith, Sylvester Stallone, Ken Follett. Secondly, we will have, for illustrated, we will have the release of the new Asterix Opus in Q4. We will continue with an interesting digital contribution essentially in the U.S. with the audiobook. And we will have a favorable impact of the acquisition of Sterling Union Square in the U.S. And I think we will have a less favorable product mixed with more front list books and less backlist books, which could a little bit impact the margin.
Emmanuel Rapin: Thank you, Jean-Christophe. Maybe, Dag, could you please update us for Travel Retail and how do you see the current trade of Travel Retail in '25?
Dag Rasmussen: Yes. So, the start of the year, which is January, which is a weak month, we still had a good trend with a bit more than 9% increase in sales at constant rate and almost 12% at current rates so the momentum continues to be very good. More generally, we will have the full year effect of some openings like Romania last year but more strongly at the start of Amsterdam, which should be around May '25, the opening of a in South African countries. So, the dynamic continues to be very strong. No real change in trend as we speak.
Emmanuel Rapin: For Prisma Media, maybe Claire, would you like to give some highlight?
Claire Leost: Yes, sure. Good evening, everyone. So, for 2025, we will continue to develop our luxury and lifestyle segment with significant launches like Harper's Bazaar for Main next September. We will also continue to develop our kids’ division, which is growing significantly with two major launches in the first semester. And then we will also consolidate our position in digital and video and social networks.
Emmanuel Rapin: Thank you, Claire. So, following the question from Eric on more structure from the group. One question was, is there any potential improvement for working capital in 2025 as a driver for deleveraging? And the question that is quite related as well, any guidance for the CapEx in 2025? Maybe Gregoire?
Gregoire Castaing: Yes, sure. Firstly, regarding the potential improvement of working cap. Again, as I mentioned it, the level of working cap was, let's say, abnormally low for Lagardère Publishing, high for Lagardère Travel Retail in '23. We consider that '24 was a return to a much more normative level. Of course, I think that we can do better. We will try to improve again our working cap, but we shouldn't consider this as the main driver for deleveraging the group. The second question was about the guidance for CapEx. Actually, we don't want to give guidance regarding CapEx, but even if we manage our cash very consciously, as I mentioned it, we want to invest to fuel the future growth. So, I think that we can say that CapEx for '25 should be consistent with '24 in terms of percentage of revenues.
Emmanuel Rapin: Thank you, Gregoire. Now I will address the question from ODDO, Jérôme Bodin, and he starts with a question about Travel Retail so that's for Dag. Are you considering restructuring some activities in Travel Retail, in particular, for certain geography in 2025? If so, for what type of magnitude?
Dag Rasmussen: Okay, good question. We are definitely considering restructuring our North Asian operations but the costs have been accounted for in 2024. So, we don't expect any additional restructuring cost on that. Apart from that, there's no significant restructuring to be foreseen except the usual ones which we carry on a greater basis.
Emmanuel Rapin: There was two more questions from ODDO. I guess that one was addressed in the press release, which was the level of investment of Arnaud. Would you like to comment, Arnaud, the key figures that is your new shareholding in Louis Hachette Group?
Arnaud Lagardère: Yes, absolutely. I moved 5.11%, something like this, holding in Lagardère to 0.4% now. And at the same time, it was in the beginning of the listing of Louis Hachette Group, I bought 8.61% of Louis Hachette Group. And the rationale behind this is that the closer I am to the Bolloré family, the happier I am, first of all. Second, I think that the future of Lagardère resides in Louis Hachette Group. Third, the business that is not in developed as much in Lagardère is in Louis Hachette Group is Prisma. And I am really, really confident in the future of Prisma. As you know, I knew Claire Leost in another life when she was part of Lagardère Media and in the magazine so I know and how she is behaving. And I am really, really confident and I see that the numbers that Gregoire told you before are really, really great. It's not an easy business to be in but I thought it was great without Gala, by the way, which is even better. So, those are pretty much the reasons why I moved to Louis Hachette Group. I kept the 0.4% in Lagardère because they're owned directly by myself as a person. And I will definitely, in July, I think it's June or July, the option, in June, sell them and probably reinvest in Louis Hachette Group. So, I will continue to buy Louis Hachette Group stock definitely.
Emmanuel Rapin: Shareholders of Lagardère SA, so I think, Pauline, you would like to clarify this point?
Pauline Hauwel: Yes. Currently, Louis Hachette was 66.53%. also, the 11.52%. [indiscernible] holding all the 7.97%. Vivendi 4.7%, Arnaud Lagardère, 0.4%, as you said. The rest is free float, a little bit of treasury share, just 0.1%.
Emmanuel Rapin: Thank you. Very clear. I think there is a question from ODDO again for the global view because this question is, could you consider a sale of certain activities in other media branch such as radios?
Arnaud Lagardère: I don't know if it's a disappointment but the answer is no, definitely. Not because we like them, we do. But because we think that we can turn them around and have them profitable.
Emmanuel Rapin: Thank you. So, I go with, in fact, the question from Julien Roch, the other one. I think what, in a nutshell, Julien was asking is how Lagardère Publishing activity compares in terms of profitability to some of its competitors? And how do you see the future of evolution? And what type of drivers do you intend to have?
Jean-Christophe Thiery: Thank you, Emmanuel. Jean-Christophe Thiery speaking. If we compare Lagardère Publishing to the best-in-class, there is a gap in terms of recurrent EBIT margin, but still 11% is quite high and much better than the 9% in 2019. I think this gap is mainly linked to our geographical footprint and also to some segments that are specific to Lagardère Publishing. So still, we are working on the profitability of our company, but we do not give any guidance in terms of improvements for the midterm.
Emmanuel Rapin: Thank you, Jean-Christophe. I think also, Julien Roch has a similar question about Travel Retail. Dag, I think the point was, what is the expectation we could see for 2025 in terms of profitability and for the next couple of years?
Dag Rasmussen: Yes, the question. So, I think we've reached now a record high of 5.3 in terms of recurring EBIT. Obviously, we might try to grab somewhat more but not anything significant because there is, first, the openings, open years of huge contracts is more costly so that will not help grow the percentage of profitability. And at some time, it's a business of tenders. So, we think we have come at a level which could be considered as stable, slightly growing, but nothing huge.
Emmanuel Rapin: Thank you, Dag. The next questions come from Christophe Cherblanc from Bernstein. The first point is about most probably the developments of audiobooks. And how is it happening in terms of growth? And how is it also linked to the development with the Spotify contract in 2024?
Jean-Christophe Thiery: So Digital is a very interesting segment for growth for Publishing, particularly audiobooks. In 2024, Digital has represented 14% of our revenues from 12% in 2023. We are very glad with our agreement with Spotify in the U.S. and in the U.K. in 2023. More recently in France, last autumn. And we will consider in the future any other agreements enabling to grow in digital.
Arnaud Lagardère: And I think to add a little thing, Jean-Christophe, that you mentioned with on the Board that the market share of Digital, which means e-books plus audiobooks in the U.S. was roughly around 30%, right, 3-0%, which is really significant, really.
Emmanuel Rapin: Thank you, Jean-Christophe. There is an additional question for Lagardère Publishing from Christophe Cherblanc. It's about the project on distribution, the distribution book center. How is the project going on now? And do you see or do you expect any significant CapEx to happen in 2025?
Jean-Christophe Thiery: So, regarding distribution in France, we really need to modernize our equipment, but we keep in mind that we are still the market leader and that the quality and the expertise of our teams are recognized by everyone, internal and external people. So, our wish for the future is, therefore, to preserve this asset without wanting to change everything but by continuing to invest. So, we now are studying and designing phase for a new modernization plan. So, it's very too early to comment in detail on this subject. But we are moving towards a gradual modernization rather than a big bang.
Emmanuel Rapin: Then there is a question for Gregoire, I guess, from Christophe Cherblanc. In fact, it is about the cost of gross debt for Lagardère. What do you see a way to reduce it in between '24 and '25?
Gregoire Castaing: Emmanuel, thank you. Actually, the interest cost for '24 was €138 million and even higher if you have a look to the cash impact, as I mentioned it earlier, since we had some one-off costs linked to the refinancing during this year. This high level of interest, if we just have looked to the cost, increased by €40 million compared to last year. And again, this explains why we put so much pressure on deleveraging. For '25, Lagardère will try to reduce the interest cost, first, by refinancing some lines. Maybe perhaps in the first semester, we want to do this quite quickly, and of course, by also reducing the volume of loans and the fact that the lever that I mentioned earlier are 2.4 will definitely help us to refinance and decrease this high level of debt cost.
Emmanuel Rapin: Last question from Eric is about the impact of restructuring on Prisma EBITDA in 2024. Claire, could you help us?
Claire Leost: Yes, sure. So, the restructuring plan was due to the loss of Gala, as you know. So, the cost was around €4 million, which was mostly cashed out in '24, so we will have the full positive impact in '25.
Emmanuel Rapin: Thank you, Claire. I think there are no more questions. Maybe, Arnaud or Jean-Christophe would like to conclude.
Arnaud Lagardère: Absolutely, Emmanuel, if you're sure there are no more questions, it's fantastic. We want to thank you for listening to us. We will welcome you next time. And hopefully, I think you will be even more impressed by the numbers this year than you are, I'm sure, for 2024. Thank you so much.